Operator: Good evening, and welcome to Array Technologies First Quarter 2021 Earnings Conference Call. Today’s call is being recorded, and we have allocated one hour for prepared remarks and Q&A. At this time, I’d like to turn the conference over to Cody Mueller, Investor Relations of Array Technologies. Thank you. You may begin.
Cody Mueller: Good evening and thank you for joining us on today’s conference call to discuss Array Technologies first quarter 2021 results. During this conference call, management will make forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements, if any of our key assumptions are incorrect because of other factors discussed in today’s earnings press release and the comments made during this conference call or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website, arraytechinc.com. We do not undertake any duty to update any forward-looking statements. Today’s presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the Company’s first quarter press release for definitional information and reconciliations of historical non-GAAP measures to the comparable GAAP financial measures. With that, let me turn the call over to Jim Fusaro, Array Technologies’ CEO.
Jim Fusaro: Thanks, Cody, and good evening, everyone. Thank you for joining our earnings call. In addition to Cody, I’m joined today by Nipul Patel, our Chief Financial Officer; and Jeff Krantz, our Chief Commercial Officer. I’m going to focus my remarks today on three areas: First, how our first quarter results compared to our expectations; second, how we see demand evolving for our products; and third, the current commodity and shipping cost environment, how it impacts Array and the actions we are taking in response. Then, I’ll turn it over to Nipul for detailed review of our first quarter results.  Revenues for the first quarter of 2021 were $246 million, which was in line with our expectations. Adjusted EBITDA was $34.5 million, which was slightly below expectations, primarily as a result of higher logistics costs, resulting from unexpected increases in inbound freight costs. Demand for our products remains strong, with quoting activity at the highest levels we have seen in our history. We believe the superior value that our tracker system delivers is being recognized by a growing number of EPCs, developers and asset owners globally, and is under underscored by the up to 4 gigawatt award that we recently received from Primoris, one of the largest solar EPCs in the U.S., as well as the 350 megawatts of awards we received from nine international customers during the first quarter  Increasing panel efficiency, falling storage costs, and growing regulatory support are expanding the lead that solar has over other conventional generation and other renewables. More than ever before, solar energy is becoming the first choice for new generation. Unfortunately, at the same time, as we are seeing record demand for solar, our industry is contending with increases in steel and shipping costs that are unprecedented, both in their magnitude and rate of change. From the first quarter of 2020 to the first quarter of 2021, the spot price of hot rolled coil steel, the primary raw material used in our products, has more than doubled. Many industry analysts and market participants expected the dramatic increase in the price of steel to be temporary, which was reflected in futures markets that had indicated lower steel prices for the second half of the year throughout most of the first quarter. Based on those expectations, we felt confident in our ability to manage our input costs and maintain our margins. However, steel prices have continued to increase with spot prices of hot rolled coil up more than 10% since April 1st, and futures now indicate higher rather than lower steel prices for the remainder of the year. Steel represents almost half of our cost of goods sold, and we do not hold large amounts of steel and inventory. So, a significant increase in the price of steel over a short period of time can negatively impact our results. Coinciding with the increase in steel prices has been substantial increases in the cost of both, ocean and truck freight. The average cost to ship a container from Asia to the West Coast has increased by more than 145% from April 2020 to April 2021. There also remains a significant disruption across several U.S. ports, resulting from the April Suez Canal accident, and the February Texas storm, which has resulted in higher storage and expediting costs that we would not otherwise have had in a normal environment. The cost of truck freight has also increased significantly with the average cost per mile in the first quarter of 2021, up more than 30% versus last year, and costs have continued to increase in the second quarter. The continued increases in both steel and freight costs will impact our margins in Q2, and potentially in subsequent quarters, if prices do not normalize. In response, we are taking several actions to mitigate the impact on the balance of the year. First, we are increasing prices. For open contracts that we have not yet shipped product against, we are currently evaluating how much of the commodity and shipping costs increases to pass on to our customers. We will make those determinations based on the specifics of each customer and situation. Given that, steel prices continue to increase in the large number of open contracts that we have, it will take time for us to evaluate each contract and determine the best course of action. The exercise is complicated, because we have to balance the possibility that customers will delay orders, if we pass through too much of the increase in steel prices on the basis that they may believe prices will be lower if they wait and take their order later in the year. The two-year extension of the ITC has given customers more flexibility on when they start their projects than they had in the past. Second, we are entering into long-term supply agreements with steel suppliers at fixed prices. For example, we recently entered into an agreement with Nucor to supply us with steel components at a fixed price. Third, we are further diversifying our steel supply base. For example, we recently entered into a supply agreement with a new international steel supplier, at what we believe is an attractive price, given the current environment. Fourth, we are entering into long-term contracts with Tier 1 freight providers to give us greater certainty on logistics costs and delivery performance. And fifth, we are extending the standard order lead times that we quote to customers to give us more time to procure raw material at the best price. However, given the continuing increases, we are seeing in steel and freight costs, as well as our ongoing review of open contracts to assess what costs we will pass on to customers, we are not able to affirm our previously provided guidance for the full year. We expect to update our guidance once we have completed the review of all of our open purchase orders and commodity and shipping prices remain stable for a long enough period of time to give us confidence in using them to develop a forecast for the remainder of the year. Importantly, we believe our competitors are being impacted by the same cost increases that we are experiencing, and in certain cases much more significantly because their smaller size gives them less buying power with suppliers. We believe the near-term pressure that is being created by the current environment may enable us to accelerate our market share gains because some of our competitors may not be able to deliver on customer commitments, given their inability to procure raw materials at a competitive price or at all. We’re in an environment, where scale and deep supply chain relationships are significant competitive advantages, and we have both. Now, I’ll turn it over to Nipul for a review of our first quarter results.
Nipul Patel: Thanks, Jim. Before I talk about our first quarter results, it is important to keep in mind that our 2020 results were heavily first-half weighted as a result of our customers seeking to lock in the 30% ITC, prior to its step down at the end of 2019. This caused our customers to place the bulk of their orders in the back half of 2019, and then take deliveries in the fourth quarter of 2019 and first two quarters in 2020. As a result, comparing a single quarter in 2021 to the same quarter in 2020 is not indicative of the trajectory of our business, since the ITC step-down skewed revenues in 2020 to Q1 and Q2. I’ll now review our first quarter results. Revenues for the first quarter decreased 44% to $245.9 million, compared to $437.7 million for the prior year period, primarily driven by a reduction in the amounts of ITC safe harbor related shipments that I discussed earlier. Gross profit decreased 63% to $43.9 million compared to $118.4 million in the prior year period, driven primarily by lower volume in the quarter. Gross margin decreased from 27% to 18%, driven by less revenue to absorb fixed costs, somewhat lower ASPs compared to the 2020 safe harbor shipments, higher input costs, due to primarily to higher steel prices and higher freight costs, resulting in part from disruptions caused by the winter storm in Texas, as well as West Coast port closures and congestion. Operating expenses increased to $30.8 million compared to $17.1 million during the same period in the prior year, primarily as a result of a $6.2 million increase in equity-based compensation due to the transition to being a public company, $2.4 million of onetime costs related to our common stock follow-on offerings, higher costs associated with being a public company, and an increase in headcount to support our product development and international growth initiatives. Net income was $2.9 million compared to $73.7 million during the same period in the prior year, and basic and diluted income per share were $0.02 compared to basic and diluted earnings per share of $0.61 during the same period in the prior year. Adjusted EBITDA decreased 69% to $34.5 million compared to $110.7 million for the prior year period. Adjusted net income decreased 71% to $23.7 million compared to $82.3 million during the same period in the prior year. And adjusted basic and diluted adjusted net income per share was $0.19 compared to $0.69 during the same period in the prior year. Total executed contracts and awarded orders at March 31, 2021 was $777.1 million, representing a 10% increase from the amount at December 31, 2020. Turning to our outlook. As Jim mentioned earlier, given the continuing increases we are seeing in steel and freight costs, as well as our ongoing review of open contracts to assess what costs we will pass on to our customers, we are not able to affirm our previously provided guidance for the full year. Looking ahead to the second quarter, we expect commodity price increases to delay some project starts, which will result in lower revenues and adjusted EBITDA versus the first quarter. Now, I’ll turn it back over to Jim for some closing remarks.
Jim Fusaro : Thanks, Nipul. I’ll conclude by saying, despite the short-term headwinds we face from commodity and shipping cost increases, we remain well-positioned in a rapidly growing industry. The outlook for solar remains very strong. Businesses and consumers continue to accelerate their efforts to decarbonize energy. The regulatory environment is extremely constructive. And solar with trackers has demonstrated it is the lowest cost and most environmentally-friendly form of new generation. We have built strong relationships with our customers and suppliers, and we will continue to work daily with them to ensure that we can continue to support the growth in the solar industry while striving to deliver strong returns for our shareholders. We believe that what we are seeing in steel prices and shipping costs is temporary and does not suggest to us a permanent change in our cost structure or margins. We believe there is more than sufficient steel production and shipping capacity globally to meet the world’s needs, and we expect prices will normalize once the restart of the global economy is complete following the pandemic shutdowns. As inventory is rebuilt and supply chains refilled, we are confident we will see more rational pricing ahead. In the meantime, we will aggressively work our mitigation efforts and look for opportunities to use the current environment to play offense by leveraging our size and scale. We believe we will emerge stronger competitively when conditions normalize than when we entered into the current environment. And with that, operator, open the line for questions.
Operator: [Operator Instructions] Our first question is from the line of Brian Lee with Goldman Sachs.
Brian Lee: Maybe first one, just feel like a lot of people are going to have this question. But, on the open contract construct, can you walk us through that a little bit more in detail? I was under the impression that once you accept the PO, you go straight into the market or quickly thereafter and order the required materials, so that you have a bit of a natural hedge against input cost increases. I would have imagined you would have factored in logistics costs at the same time that you’re pricing these contracts. So, could you maybe just refresh us on the time line of you setting a price with the customer and then when you order from your supply chain and kind of what the mismatch is here?
Jim Fusaro: Yes. Hi, Brian. So, the typical cycle time is when you go into a customer negotiation, the contract negotiation typically can take anywhere from 4 to 6 weeks, depending on the size complexity of the project, how much engineering work is done upfront. And then, when you kind of settle on bill of materials, that’s when we would kind of do it the outreach to our supply chain, to get indicative quotes in order to support the quoting activity, which ultimately we give to the customer. So, in normal conditions, when you have stable commodities, we would be giving indicative quotes that were obviously relatively stable to what the futures are looking like. So, we could pretty much nail that down, and obviously, there was triggers per contract per customer on any prior or existing cost escalations that one might see with commodities. But given the rate of increase that we have seen -- so for example, since April 1st, commodities -- hot rolled coil is up 10% and still continues to rise, actually, it wasn’t the case kind of early on if you go back to maybe like early April. So, we were giving prices, and futures were actually pointing down. So, we felt confident in our ability to give a price. They would go back. They factor that in. By the time you get to a contract where you’re close to signing, we saw that in some cases, prices went up, but still look like futures were going down. You give them a price increase. And then lo and behold, you’d execute to the PO. And by the time you would solidify your suppliers, there’d be subsequent increases. So, it’s that lag, or shall I say, that lead time between when you agreed upon a price and/or subsequent price increases when you actually close and then we negotiate with our suppliers that you were seeing a rapid increase in the commodities that impacted, obviously, our COGS. So, that’s kind of the mechanics and a brief time line overview of how it’s working with us.
Brian Lee: Okay. That’s super helpful. And then, maybe just as we think about the rest of the year here, you’re saying that there’s definitely an impact on Q2, sounds like on margins. And then, as you contemplate how to do some of the mitigation factors, including price, sounds like you’re worried that some volume might slip into a later period, outside of ‘21, hence, why the guidance isn’t being reiterated here. I guess, what’s the sort of volume level that you still have, which you would consider in that open contract phase where you are sort of at risk of either not being able to secure the volume or you’re going to potentially going to potentially have to take a going to potentially margin hit relative to what you initially were thinking when you first quoted the contracts? Just trying to get a sense of how much of the backlog awarded orders volume might actually be at play here. And then, I have one last follow-up.
Jim Fusaro: Yes. Thanks, Brian. I’ll put it in a different context. We’ve got roughly about 100 or so open contracts that we’re currently assessing, so, where there’s a lot of analytics that we have to run through. So, we’ve got price, which you mentioned; long-term supply agreements, which we obviously announced recently here with Nucor. We continue to diversify the supply chain, which, when you do that, right, you build in an element of logistics, what does that cost, and then the freight agreements that we’re executing to, because in as much as we want to lock down, our suppliers on the commodity element, we want to do the same thing with freight, and then, extending lead times for our customers. So, when you factor in price and lead times, commercial team has to work with our customer to see what appetite they have, where that stands with relative to the project within their time horizon, does it move to the right, how far to the right. So, that’s something that we’re actually assessing, and I really can’t give you an exact answer on where it is. And that’s why we have to really sit down and go through these analytics to understand how much we can control within our own four walls and then the impact to our customer.
Brian Lee: All right. Fair enough. And then, maybe just one last housekeeping one and I’ll pass it on. There was a $10 million line item called investment in equity securities on the cash flow statement this period. Could you elaborate on what that was? Just I hadn’t seen that before.
Nipul Patel: Yes. And hey Brian, it’s Nipul. How are you? So, this is what we had talked about in our Q4 call. We did take an investment in a company, and that’s what that represents.
Operator: Our next question is coming from the line of Michael Weinstein with Credit Suisse.
Michael Weinstein: I guess, what’s your decision-making process for not hedging steel using, let’s say, financial hedges going forward? You’re talking about locking in a fixed price contract with Nucor at this point. But, why not hedge what you think the volume will be for the next year?
Nipul Patel: Yes. Hey Michael, this is Nipul. So, in the past, that has not been our strategy. We had been working with our suppliers to -- and let them take that risk on. And when commodities were within a certain band, that was okay to do. We are open and we will be looking at other methods in the future on securing supply for a longer term.
Michael Weinstein: And why not give revenue guidance now? Is the supply chain tightness impacting project construction schedules to an extent that you can’t give revenue guidance?
Jim Fusaro: Yes. Michael, I would just go back to what we were saying. There’s price that we’re going to be extending to the customer’s new pricing. They have to digest that. Our lead times are going to extend with them. They’ll have to factor that in as well. So, really, those are the two elements that are really going to -- we’re going to work and collaborate with our customer and to see what will stick, what won’t. So, we’re -- it’s far too early for us to really give any type of volume commitment here, or guidance.
Michael Weinstein: And just one last question. Do you have any recourse built into your contracts for existing deliveries? Like, is there anything -- is there any wiggle room in your current contracts that allow you to pass along these costs, or is it fixed?
Jim Fusaro: Every contract is different. So, there’s some customers that will work with us on lead times relative to what buffer they put in their contract. So, everyone is different. There’s typically a little bit of headroom to work with. Everyone gives themselves a little bit of white space, if you will, on delivery. But, given where logistics are today in the current environment, it becomes quite challenging.
Operator: The next question is coming from the line of Paul Coster with JP Morgan.
Mark Strouse: Yes. Good afternoon. This is Mark Strouse on for Paul. Thanks for taking our questions. Jim, I appreciate your comments about the futures market in the second half of this year. Just curious what you’re hearing from your actual suppliers though. Are they looking to add any incremental capacity or anything like that that might lead to a different outcome?
Jim Fusaro: They all have a different investment thesis, and their demand profiles vary. You’ve got some out there that are supplying the automotive industry, others for more infrastructure-focused, structural, if you would. Demand remains relatively high across the board, at least this is what we’re telling us. You’d have to do your own deep dive on what they’re saying in their earnings releases. But for the balance of the year, at least what futures are indicating that they continue to rise. So, that’s indicative of the demand. To the extent they’re going to add capacity, that’s really how they’re going to really deploy their capital, whether they’re going to bring those furnaces and mills back up or not. And part of that, Mark, is -- I think this is Mark, correct?
Nipul Patel: Yes.
Jim Fusaro: Mark, that’s part of our analytics. When we deal with our suppliers and these long-term supply agreements, we’re obviously looking for the commitment to support the capacity, because one of the things I want to press upon is, as when we go into these supply agreements, we want to make sure that we’re locking down the assurance of supply. And that’s resonating with a number of our customers here.
Mark Strouse: Okay. And then, as far as the balancing act between kind of near-term financial impact and longer term, keeping your customers happy and potentially gaining share, I mean, looking at approximately or approaching 50% of your bill of materials that’s steel in those prices doubling, I mean, are you willing to accept very near term, at least, kind of close to breakeven or even negative gross margins in order to gain some share? Just any kind of color you can provide as far as near-term pain versus long-term gain would be helpful.
Jim Fusaro: Yes. I would preface it, Mark, by saying, first of all, the industry is still very healthy with respect to the growth and what solar does overall for new electricity generation. So, the train has left the station there. But again, this is part of the analytics that we’re driving here to really balance between these short-term projects, i.e. those 100 contracts or so that we’re flushing through versus their overall portfolio and where that lands. But, I wish I could give you more color. But, we just got to put pen to paper here and sit down with the customers and really flesh this out.
Operator: Our next question is from the line of Stephen Byrd with Morgan Stanley.
Stephen Byrd: I guess, thinking about the nature of the contracts, you’ve given us a lot of color to think through. At a high level, I guess, stepping back, is there a chance that this kind of a commodity shock could result in sort of different structure contracts in the future, sort of fundamental changes in how contracts are structured? I know, it’s early days, but just curious, do you think this is something where you and your customers can sort of look at this and think through a different approach in the future in terms of how to mitigate these risks?
Jim Fusaro: That’s exactly what we’re doing, Steve. These are the conversations we’re having with the customer. I think, what Nipul alluded to earlier, we have a very strong supply chain, very diversified. So, we never really had to give that volume commit. So, when you add times where commodities were somewhat normalized, that worked well. I think, I even mentioned on the last earnings release that we certainly want to be working with our supply chain and firming it down. I’m not a strong proponent of giving volume commits, but certainly, in these times, that’s kind of where we’re heading. Now, how that changes the contractual language, what that means for the customer and how that construct really comes forward, that’s customer by customer. And that’s exactly what we’re doing here throughout the balance of the year.
Stephen Byrd: Understood. And in some other parts of clean tech, we’ve seen sort of ideas around shared pain and gain. And I’m guessing that could be at least one option that you could consider here as well.
Jim Fusaro: Potentially.
Stephen Byrd: Okay, understood. And then, lastly, you had described in your prepared remarks a bit about sort of, obviously, this is impacting you. It’s impacting competitors as well. Would you mind maybe just expanding a little bit on sort of how you assess your relative position compared to the competition? I know that’s not always easy to fully know exactly where your competitors are. But, given your -- what you’ve seen, would you mind just adding a little bit more to that?
Jim Fusaro: Yes. And again, I emphasize, it’s our belief, and it’s predicated on our size and scale and what we’ve shipped. And certainly, when we sit down with the likes of a Nucor and others, they understand and recognize the value that we bring, and they’re obviously willing to put pen to paper with respect to our performance. So, our supply chain and how they are responding relative to our growth and this industry remains very positive, and certainly, our size and scale. And what we can deliver, what we have delivered is being reflected by our customers such as with Primoris on the recent press release. They’re really -- part of the -- one of the attributes there and the strength that we have there is our ability to supply, is our ability to lock down some of these long-term supply agreements. So, that’s where our focus is. And we believe this is a strength for us going forward.
Stephen Byrd: Understood. And so, that could lead to potentially a shakeout where smaller players really are -- to your point, they may not be able to provide the volume, might actually exit the business if they’re feeling enough pain. I guess, we’ll have to stay tuned to see.
Jim Fusaro: Yes. I wouldn’t speculate on that. I would just kind of point you back to where our strengths are, our demonstrated results.
Operator: Our next question is coming from the line of Colin Rusch with Oppenheimer.
Colin Rusch: Could you speak to the geographic concentration on the projects that are getting pushed out to the right? Is that primarily in North America, or are you starting to see that in Europe as well?
Jim Fusaro: I would say, the -- first of all, I’ll have to get back to you with respect to the geographic impact. But certainly, as we go through these contracts, I don’t have that readily available right now, and that’s going to be an output of the analysis that we do run. And I could -- I would say that we are seeing that globally, especially in Western Europe as well.
Colin Rusch: Okay. That’s super helpful. And then just in terms of kind of normalized seasonality, you guys have a really good view on construction schedules and kind of how these time frames work. And obviously, there’s some demand inefficiencies here that you’re speaking to. But, just in terms of kind of overall demand and normalized seasonality ex some of the basic supply chain issues, are you seeing incremental growth this year in the way that you had anticipated, or is it something that’s a little bit more systemic here that may last a little bit longer around some of the seasonal impacts?
Jim Fusaro: No. I would go back to what I said earlier. The overall industry remains healthy and strong. We’re not seeing like any serious dislocation long term. Like I said, this is something that we see as rather short term. And obviously, we’re going to assess that with our customer base, but not a longer term basis. So hopefully, I’m answering that question.
Operator: Our next question comes from the line of Philip Shen with ROTH Capital.
Philip Shen: First one is on the Nucor contract. Could you give us a little bit more detail? Sorry, if I missed it, but perhaps the length of the contract, and are you matching the Nucor contract with a customer contract, for example? And any other structures you might have there, including to what degree -- when you lock in price, are you locked in at a discount to spot, at a premium to spot? That kind of detail would be fantastic.
Jim Fusaro: Yes. Unfortunately, I can’t get too much specific surrounding that agreement because our size and scale and our ability to get these contracts is a competitive advantage. But, I will tell you that it certainly is a discount to spot.
Philip Shen: Great. Okay. That’s helpful. And then, can you -- from a length standpoint, is it a year long, or is it matched with the customer contract at all? Is that something you feel comfortable sharing, Jim? Thanks.
Jim Fusaro: No, not at this juncture right now. Certainly, we obviously have obligations, confidentiality with Nucor. So, I just want to respect that.
Philip Shen: Okay. I appreciate that. And then, I know you’ve touched on this in a number of ways. But, when you look at Q4, when you guys reported, that was just two months ago, and you talked about how much steel and freight have gone up in just one month, I guess, since April and the beginning of April, over the past month. So, what else -- what are the factors do you think true of you to remove that -- the guidance for now? Is it -- was it just those two factors or were there other factors? And if so, any color on that would be great.
Jim Fusaro: Yes. I would just go back to what we said here. I mean, really, it was the rate of increase. Again, like if you look from since April 1st, the hot rolled coil is up 10%, and it’s still rising. And then, if you look where it was same period last year, i.e., first quarter of ‘20 to the first quarter of ‘21, it’s up 2 times. It was really that rate of increase. And then, to compound that, obviously, you look at what’s happened with freight as of April ‘20 to April ‘21, freight is up 145%, and that’s all since really the beginning of April. So, a lot has really changed. And then, I would add on, if you look pretty much towards the beginning of April, futures were actually pointing down for steel in the second half. So, that was -- gave us a little bit of optimism. And then, in short order, they have increased substantially. So, a lot has changed just since April 1st that has really caused us to really revisit, go back to price, go back to those long-term supply agreements, supplier diversity, getting long-term agreements now with freight carriers and extending those lead times. So, that’s really kind of those -- the three pillars, if you would, that has really changed since the last time we spoke.
Philip Shen: Okay, got it. And then, from a seasonality standpoint, last quarter, you talked about Q1 being 20% to 25%, Q2 being 25% to 30%, Q3 being the same, and then Q4 being 20% to 25%. I know Q2 is looking to be down now. Any -- can you give any sense for what Q3 and Q4 might look like, or is it actually just not possible because you got to review those 100 contracts?
Jim Fusaro: Yes. Unfortunately, it’s just the latter of what you said there. It’s really we have to go back to the customer with these prices. And again, I’ll remind you that we’ve already gone through, shall we say, the Phase 1 of price increases. So, we have to sit down -- what does the extended lead time really mean and what are these continued increases in our cost, i.e. price mean? So, we’ve got to assess that with our customers.
Operator: The next question is coming from the line of Martin Malloy with Johnson Rice.
Martin Malloy: The first question I had on the international markets where you continue to add customers. Are these markets where they previously were not using trackers, or are you gaining market share from customers that were previously using trackers?
Jeff Krantz: Yes. Hi. Martin, it’s Jeff Krantz here. A quick answer to your question is, it’s more of the latter. We’re actually taking some share from some European tracker companies in markets that had already been established with trackers.
Martin Malloy: Okay. And then, on the last call and with the last earnings release, you talked about the R&D investments that you’re going to be -- that you are going to be making ongoing here. And anything to update us there in terms of timing of when we might see some new product introductions?
Jim Fusaro: No. Our investment continues on the R&D. Nothing material has changed from what we plan to roll out. And I would love to invite you out to come to our research center, so you can see what we have planned.
Operator: Next question is coming from the line of Kashy Harrison with Simmons Energy.
Kashy Harrison: So, first one, Jim, just to -- maybe just a really, really simple question. What’s your base case on how long it’s going to take for the business to normalize? Are you thinking we’re back to normal 2022, or are you thinking we’re back to normal 2023?
Jim Fusaro: Well, I wish I had the crystal ball on the futures for steel. No one seems to have gotten that one right. But, we’re certainly going to work this as hard as possible to really understand what the impacts are, at least to ensure we can continue to execute here. But, really, it’s -- I’m not a savant when it comes to steel futures and what ‘22 looks like. But, what we have pen to paper on right now is really making sure that we put the right agreements in place, both with our suppliers and freight forwarders. We can ensure the lead time and get the right price for our customers really to work through this hyperbolic increase in commodities as we’re seeing it.
Kashy Harrison: Okay. That’s -- I appreciate the honesty there. And then, in terms of -- I know there were a few questions asked about these long-term agreements that you -- you’re thinking about entering into or you’ve entered into. Are there any concerns that when we do eventually emerge on the other side of this, that these contracts could actually make it difficult to hit your long-term EBITDA margin target that you’ve outlined previously?
Jim Fusaro: Great question. The key there is making sure that you have key strategic suppliers and many of them, so that you at least have some flexibility and ability to move should they go in either direction, i.e., the commodity. And then, obviously, we work with our suppliers for the proper and appropriate off-ramps to manage accordingly.
Kashy Harrison: Okay. And then, final one for me, if I could sneak one for -- sneak one in, and this one is for Nipul. Working capital represented a pretty meaningful use of cash during Q1. How are you thinking about it over the course of the rest of the year? Should we expect working capital to represent a source of cash, or do you think it’s going to continue to be a use of cash in Q2 through Q4?
Nipul Patel: Yes. Hey Kashy. So, Q1, the reason it was a source was related to the linearity and the ITC order placements and the prepayments in Q4. So, we fully expected that. As we ramp up for the build seasons here in Q2 and Q3, we expect a little bit of use. But then, by full year, we expect it to be a total source of cash.
Kashy Harrison: Okay. Full year, total source? Got it. Okay. Thank you.
Operator: Our next question is from the line of Jeff Osborne with Cowen.
Jeff Osborne: Most of them have been asked, but a couple. I might have missed this, but you were referencing the open contracts in response to Brian’s question. Are 100% of the contracts outstanding open, or is there a portion that are closed just due to the terms and conditions?
Jim Fusaro: There’s a portion that are closed, Jeff.
Jeff Osborne: I assume it’s not that meaningful, though, relative to the open, given the nature of the conversation. Is it fair?
Jim Fusaro: That’s a fair assessment.
Jeff Osborne: Okay. And then, a couple for Nipul. I was wondering if you can comment on what the comparison was, the safe harbor revenue from Q1 of last year, just as you flagged the year-over-year tough comps. Is there a way you can quantify that?
Nipul Patel: Yes, sure. So, Q1 of 2020, we had about $300 million of safe harbor shipments. And in Q1 ‘21, this current quarter, it was about $100 million.
Jeff Osborne: Yes. Got it. And then, how should we think about the OpEx trajectory from here? It came in a little bit higher than I was modeling, at least. Is this a good run rate for the rest of the year, or as you’re still building out the team internationally and the new Phoenix center, should that continue to rise?
Nipul Patel: We expect it to be in the range of this quarter. As we continue to invest, it will be a slight rise, but it will be in this range of the current quarter.
Jeff Osborne: Perfect. And then, just two quick ones on the steel side. Is there any perspective you can give in terms of lower steel usage in terms of pounds or kilograms per unit over time? Is there an ability to take steel out of the unit? That’s question one. And then question two on the steel front. Is there inflation on the galvanization of the steel? So, I think the 50% comment was the raw steel, but I wasn’t sure in terms of your suppliers that are then galvanizing the steel for you. Is there cost inflation there as well?
Jim Fusaro: Yes. Jeff, the galvanization is inclusive to the metrics that we gave you surrounding costs. And then, to your former question surrounding alternative materials lighter, yes, that’s part of our DNA when it comes to value engineering. We’re always looking for opportunities to improve our bill of materials, making it more cost effective.
Operator: At this time, we’ve reached the end of our question-and-answer session. Now, I’ll turn the floor back to management for closing remarks.
Jim Fusaro: Thank you. And thank you, everyone. I’ll just go back to the prepared remarks for the concluding statement here, and that is the headwinds we face from these commodity and shipping cost increases, we definitely feel we’re well-prepared and positioned and are executing to the plans that we have outlined. And solar remains to be very strong. We continue to build relationships with our customers and supplier, and we’re going to continue to work with them on a daily basis. So, with that, we’re fully committed. We certainly appreciate your time. And with that, I’ll turn it back to the operator to close.
Operator: Thank you. This will conclude today’s conference. Thank you for your participation. You may now disconnect your lines at this time.